Operator: Good morning, ladies and gentlemen, and welcome to the Orla Mining's Conference Call for the Second Quarter 2025 results. My name is Eric, and I will be your conference operator today. Please be advised that this call is being recorded. I would like to turn the meeting over to Andrew Bradbury, Vice President, Investor Relations and Corporate Development. Please go ahead, Mr. Bradbury.
Andrew Bradbury: Thank you, operator, and welcome to Orla's Second Quarter 2025 Results Conference Call. We will be making forward-looking statements during today's call, and I direct you to the second and third slides of the presentation, which contains important cautionary notes regarding these forward-looking statements. All dollar amounts discussed today will refer to U.S. dollars unless otherwise indicated. The Orla executive team is on the call this morning, and I'll now pass the call to Jason Simpson, President and CEO.
Jason Douglas Simpson: Thanks, Andrew. Let me start by listing the Q2 highlights. The second quarter marked the first full quarter of production from Musselwhite following the closing of the acquisition at the end of February. This broader production base drove strong earnings and cash flow in our business. We also released the initial underground resource update for the next phase of Camino Rojo underground and continue to explore the exciting Zone 22 discovery, which we hope will expand the resource and extend mine life. We also continue to advance our exploration programs in Canada, United States and across our broader land package in Mexico. More recently, we experienced a setback in the uncontrolled material movement event at Camino Rojo on July 23. The event occurred along a temporary north wall of the north section of the open pit and involved approximately 390,000 tonnes of material. Most importantly, no one was in part because of the early detection by the pit monitoring systems and critical decision-making by our site team based on that information. No equipment was damaged nor was any environmental impact from the event. However, we did need to temporarily pause in-pit mining as we completed a geotechnical assessment with our external consultants and established an action plan for safe restart. We have also adjusted the standard operating procedures within the pit to ensure ongoing safety. The material movement was bounded by 2 faults acting as release features from increased port pressure due to rainfall and the steepness of the interwall angle. The current action plan includes mining from surface downwards to push back 50 meters at the toe and 80 meters at the crest of the entire north wall to create a shallower pit wall angle and reestablish safe working conditions on the north side of the pit from the top down. The material from the North Ball is predominantly oxidized. With an order waste strip ratio of 1 to 0.9 and an anticipated average gold grade of 0.74 grams per tonne. This ore material will be crushed and stacked on the heap leach. Total ore tonnes to be removed is about 9 million tons or approximately 250,000 ounces. This layback is allowable under Mexican provisions for emergency remediation measures. To be clear, no material was lost or sterilized from this event, but rather deferred later in pit resequencing to ensure safe operations. As a result of this deferral of production, we have revised our guidance at Camino Rojo for the year, 95,000 and to 105,000 ounces of gold production at cash costs of $800 to $900 per ounce sold and all-in sustaining cost of $850 to $950 per ounce sold. This compares to initial guidance of 110,000 to 120,000 ounces of gold at a cash cost of $625 to $725 an and all-in sustaining costs of $700 to $800 per ounce sold. Based on the current action plan and Camino Rojo's updated pit sequencing, combined with the unchanged Musslewhite guidance. Our 2025 consolidated guidance is now expected to be in the range of 265,000 to 285,000 ounces of gold at cash cost of $900 to $1,100 per ounce sold and all-in sustaining costs of $1,350 to $1,550 per ounce sold. This compares to previous guidance of 280,000 to 300,000 ounces of gold at cash cost of $850 to $1,050 per ounce sold and all-in sustaining cost of $1,300 to $1,500 per ounce sold. While this has been an unfortunate incident in what has been an otherwise seamless operation, I am very proud of the tools we had in place to prevent injury and also the way in which our team reacted to assess the situation, establish a safe restart plan, incorporating this learning and into the operation going forward, which is back in production. Andrew Cormier, our Chief Operating Officer, will now discuss our operating performance.
Andrew Cormier: During the quarter, Camino Rojo mined nearly 2 million tonnes of ore and 2.6 million tonnes of waste for an implied strip ratio of 1.33. A total of 1.7 million tonnes of ore was stacked at an average grade of 0.71 grams per tonne gold, equating to an average daily stacking rate of approximately 18,500 tonnes. In addition, 0.9 million tonnes of low-grade ore were rehandled and placed on the leach pad at an average grade of 0.32 gram per tonne gold. In total, 2.6 million tonnes of ore at an average grade of 0.57 grams per tonne gold were placed on the heap leach pad during the quarter. Rehandling of low-grade stockpile was to offset the impact of mine resequencing to maintain the yearly plan. Total quarterly production for Camino Rojo was 25,145 ounces of gold. The Camino Rojo team has started the site work to address the uncontrolled material movement on the north wall that occurred on July 23. I'd like to thank the entire team and our consultants for working extremely hard over the past 3 weeks. At Musselwhite, we recorded our first full quarter of production. Musselwhite mined 303,000 tonnes of ore and milled 295,000 tonnes at a mill head grade of 5.52 grams per tonne gold. Gold recovery rates of 96.5% resulted in gold production of nearly 53,000 ounces of gold. In all, the second quarter was a record period of production for the company. On to our project pipeline and upcoming milestones. Orla continues to engage with local, state and federal stakeholders to sustain momentum in the permitting process in the United States. We expect the publishing of the notice of intent for our South Railroad project in the coming weeks. Following the receipt of the notice of intent, we expect the record of decision in the third quarter of 2026 that allow construction to start with commissioning in Q4 2027 and gold production in early 2028. Our project team continues to work with M3 on the engineering for the project, potentially leading to procurement in the second half of 2025 to be prepared for on-site construction starting next year. Etienne Morin, our Chief Financial Officer, will now discuss financial results for the quarter.
Etienne Morin: Thanks, Andrew. During the quarter, we sold a record 79,000 ounces of gold at a realized price of $3,251 per ounce, and that's including the impact of the gold prepay and resulting in approximately $264 million in revenue for the quarter. Our consolidated cash costs and all-in sustaining costs for the second quarter totaled $1,065 and $1,421 per ounce of gold sold, respectively. We recorded net income for the quarter of $48 million or $0.15 per share. And on an adjusted basis, we had adjusted net earnings of $64 million or $0.20 per share. Cash flow from operating activities before changes in noncash working capital was $103 million or $0.32 per share for the quarter. Our total capital expenditure, including capitalized exploration was $25.5 million, of which $6.4 million was nonsustaining and related to capitalized exploration in both Mexico and Canada and also included basic and detailed engineering in Nevada. We had $19.1 million of sustaining capital, the majority of which related to mine development, PQ Deep extension and equipment purchases at Musselwhite. During the quarter, we repaid $30 million towards our revolving credit facility, which was well ahead of schedule, and that reduces our net debt to approximately $205 million. And at June 30, our cash balance was $215 million. So we intend to use our strong cash position to continue to delever in the near term while also preparing to finance the construction of the South Railroad project in the medium term. Now I'll pass it over to our Senior Vice President of Exploration, Sylvain Guerard, who will now provide you with an update on the exploration activities.
Sylvain Guerard: Thanks, Etienne. During the quarter, the company released an initial underground resource estimate for the Camino Rojo deposit, incorporating mineralization hosted in the Camino Rojo sulfides in the underlying Zone 22. We are very satisfied with the resource, which includes 4.2 million gold equivalent ounces in the measured and indicated category and 0.42 million gold equivalent ounces in the inferred category. Zone 22 represents the vertical and down plunge continuation of the Camino Rojo sulfide mineralization and remains a significant source of upside as Zone 22 extend for another 1.2 kilometer remains open, but currently only account for 7% of the current underground indicated resource and 19% of the underground inferred resource. An initial project PEA is planned for 2026. A 15,000-meter infill drill program started in early 2025, targeting the upper part of Zone 22 was completed on July 18 with positive results released last week. Drilling has consistently returned high-grade intersections of gold, silver, zinc mineralization. Given the success to date, we are planning to expand the program by an additional 5,000 meter in 2025, continuing further infill and extension down plunge. The infill drill results will support an updated underground resource estimate for the Camino Rojo deposit, which is expected to feed into the planned 2026 PEA. We continue to advance our exploration programs across our portfolio with further updates to come in the second half of 2025. In Canada, underground and surface exploration programs were active throughout the second quarter. our underground exploration drill rigs and 4 surface drill rigs will continue drilling throughout the rest of the year. A portion of the assay results from the underground drill program have started to arrive and are currently being reviewed and interpreted, while results from the surface program are expected in the second half of 2025 and early 2026. In Nevada, 3 drill rigs were turning during the quarter, testing extensions of known deposit and new targets with 4 expected to be drilling across multiple targets in the second half of the year. In Mexico, regional exploration was initiated in Q2 and will continue through the rest of the year. Silvana Costa, our Chief Sustainability Officer, will now provide an update.
Silvana Costa: Thank you, Sylvain. I'm glad to share that we are about to publish our 2024 sustainability report in alignment with the sustainability accounting in this Board and the task force of climate-related financial disclosures standards. We are highlighting another year of meaningful progress in embedding sustainability across Orla's business. Please look for this report on our website in the days ahead. You will learn that we deepen our climate efforts with our first Scope 3 emissions assessment and continue to deliver strong environmental performance at Camino Rojo, including low emissions and water use as well as the introduction of 4 new environmental standards to strengthen how we manage water, biodiversity, air and hazardous materials. We also advanced our work with local communities, expanded hiring from surrounding areas and supported innovative projects like a community poultry farm that promotes food self-sufficiency and technical training. We remain focused on aligning business growth with responsible practices that benefit the people and the ecosystems around us. This year's report is another step forward in building a culture of accountability, learning, transparency and long-term value. During the second quarter, we maintained community engagement and strategic community investment initiatives at Camino Rojo, Musslewhite and South railroad while maintaining a focus on environmental performance, fulfilling our social commitment in advancing permitting processes in both Mexico and Nevada. This last quarter was particularly active in engaging with regulators and other key stakeholders about permitting. In Mexico, we continue transparent and constructive dialogue with relevant state and federal level agencies and have the opportunity to meet face-to-face with key members of the environmental regulator, about our current permit application and are now working on responses to additional questions we received from them. Based on this dialogue in regulated timelines, we expect a positive resolution late this year. In Nevada, beyond active engagement with regulators as we are -- as we prepare for a public scoping period, we have continued to engage with a variety of stakeholders to consolidate support for the project, understand and address questions and concerns and widely share information about the South Railroad project. At Musslewhite, our special ceremony took place in June, including the annual blessing of the water by representatives of our indigenous partners. The ceremony is unique to massage and acknowledges the intangible cultural heritage of our neighboring First Nations. On the people front, in the second quarter, we continue to prioritize a smooth transition for the Musselwhite. As we grow, we welcomed over 100 new team members at Musselwhite alone and continue to advance our bespoke leadership training program across the 3 jurisdictions. With that, I'll hand the call back to Jason.
Jason Douglas Simpson: Thank you, Silvana. Before we close, I want to directly note some comments included in our quarterly disclosure. While addressing labor practices at the Camino Rojo mine in Mexico, we are also reviewing potential criminal activity and looking into the regional security risks affecting the mine and neighboring communities. We have voluntarily contacted relevant authorities and are cooperating. And although we don't have further details to share at this stage, the review has not affected the operation of Camino Rojo mine. To recap. In the second quarter, Orla recorded its first full production from order production from Musselwhite, resulting in a record quarter of production we released the initial underground resource for the communal sulfides as well as additional exploration results from the prospective Zone 22 discovery and continue to make progress across our exploration programs. While the pit wall event at Camino Rojo as a temporary setback, it has reinforced the importance of our technical planning risk management and operational discipline. The team acted quickly to implement a comprehensive action plan that prioritize safety, reinforces slope stability and allows for the continued ore recovery during the pushback. Looking forward to the remainder of 2025, we have several upcoming catalysts for Orla including: continued integration of Musselwhite and initial assays from the 2025 exploration program, permitting milestones in both Mexico and Nevada, our resource update for the South Carlin complex and an updated feasibility study for our self project as well as construction planning information. We continue to execute on our proven strategy to generate value to the benefit of all of our stakeholders. Thank you to our teams in the countries where we operate, these commitments and delivery are driving this business forward. And at this point, I'd like to open the call to questions and hand it back to the office.
Operator: [Operator Instructions]. Your first question comes from the line of Wayne Lam with TD Securities.
Wayne Lam: Maybe just at Camino Rojo, could you give us a bit more detail on what drove the larger amount of stockpile drawdown in Q2 I guess, absent the pit wall event, as you continue to operate without the permit from layback, can you speak to some of the modifications to the mine plan that need to be made? And do you continue to anticipate an elevated level of stockpile drawdown until you receive the permit.
Jason Douglas Simpson: Yes. Thanks, Wayne, for the question. So they're trying to work through your sequence of inquiries there. We do -- and I'll start from the last one. We do anticipate continuing to stack the low-grade stockpile for the remainder of the year as an additional source of gold production that's available to us. and doesn't require crushing. The crusher, of course, will be fully optimized and utilized most of the material being fed into that crusher will come from the material movement on the north wall. And that will continue throughout this year and into next as we wind down through that material that I described in the in the call. And as we outlined, all of that computation of the usage of the stockpile combined with the mine tons from the north wall or what have guided our updated information on guidance for Camino Rojo. Maybe you can help me with any parts I missed.
Wayne Lam: No, that's great. And then maybe just on the action plan that's been outlined. Obviously, good to see that come together pretty quickly with no injuries from the event. So just to confirm, that 9 million tonnes that will be removed, that's able to be placed onto the pad immediately, even though it falls outside the permit? And then I guess, just in terms of the revision in the guidance. What would be the time line to restart use as the basis for that? And does that also account for the commentary on the revised permitting time line not to expecting a positive decision late this year.
Jason Douglas Simpson: Yes. I'm going to separate the 2 matters. Let's talk about the material movement in the 9 million tons that you described. And so that action plan that we outlined in our guidance update last week is already underway. The mechanics of it, of course, are reestablishing diversion channels, establishing the ramp into the north wall and mining from the top-down in a safe manner. And obviously, at a cadence of about 19,000 tonnes per day will crush and stack that material onto the pad. As it relates to the permitting, it's allowable under Mexican legislation because we need to prepare that area and you stabilize it. And so that's why we're permitted to do that. Separate from that is the larger layback that we've had in the permitting process for some time. And the updated timing that we're communicating about that is based upon active conversations with the with the labor authority. And again, there are 2 separate processes. The work that we're doing as a result of the pit wall movement is separate from the work that we're doing with the federal authorities on the larger layback permit. So speaking to the larger layback permit, including myself, our CSO and our COO have been on various conversations with both federal economy agents as well as Semina. As we talked -- Silvana talked about in the call, those good dialogues have resulted in us being on track as normal part of the seminar process. They have asked questions for additional clarifications. We're answering those questions. Once we've wholesome and fully answered all of their questions, they'll be in a position to give us a positive resolution. So I'm very optimistic that we're moving forward in Mexico with the larger layback. And in the meantime, we'll be mining this year and next.
Wayne Lam: Okay. Great. And so yes, just a follow-up on the revised guidance. What does that -- like what was the basis in terms of the time line used to getting there?
Jason Douglas Simpson: Yes. So we obviously had to temporary suspend operations. So that had to be considered at the point that we -- and the time we did that, that we were suspended, we were stacking low-grade stockpile, not the same grade as in-pit material, and so that had to be considered in the updated guidance. And then differently, the mine sequencing that we would have been doing -- has had to be changed because we have material to move to stabilize that North Wall, and that needs to come first. And so the difference and the update to guidance is considerate of all that us restabilizing that north wall first. It's for material, so that will be crushed and stacked but we'll defer the benching deeper in the mine likely sometime next year. And so that's what we use to update the guidance substitution of the bench material originally in the plan with the new material on the north wall that's in the updated revised plan. And all of those ounces over the coming years will be extracted.
Wayne Lam: Okay. Great. And then maybe just last one, just at Musselwhite. Just wondering if you can maybe comment on the cost and the grade profile there. Should we be expecting kind of a sequential improvement on the operating costs as you continue to -- as you get operating to the mine? And then just on the grade profile, are the lower grades over the past 2 quarters, just a function of sequencing and the ramp up in tonnage outside of the PQ Deeps. And just looking at the mine plan next year with the uplift in grades towards 6.9 grams a tonne, is that still a reasonable expectation? Or should we continue to see a bit more tonnage offset by slightly lower grades?
Jason Douglas Simpson: So first on the cost, I think I would characterize it the same way as you just have is we'll be making improvements over time on the cost profile at Musselwhite, starting with fully several from Newmont and some of the costs that are associated with that. And then moving into more of an organized mine and the kind of cost that we can have demonstrated and can have it in musslewhite. Finally, as normal in any operation, looking for cost-saving measures in 2026 that can bring our costs down at musselwhite between $1,300 and $1,500 an ounce is where we would be striving for on a consistent basis. And when combined with Camino Rojo, of course, that takes us even lower into the first portal of global gold producers, which is where we want to be. As it relates to grade, we have no concern over the annual nor life of mine grade in the mine plan for Musselwhite. But we do have quarter-over-quarter fluctuations of plus or minus 5%. And on an annualized basis, are confident that we have the appropriate grade scheduled and profile the effects as most people appreciate in an underground mine are entirely contributing to whether you're mining higher grade development headings or more average rig stoping, the particular grades of the sequence of stopes in different parts of the ore body. And then finally, making sure that you're containing and restraining any dilution that has a negative effect on grade. So that's our team at Musselwhite needs to manage that to deliver the grades on an annual basis on plan, and we are fully acknowledging that and comfortable with fluctuations month-over-month, quarter-over-quarter. We were very confident in the degree of Musslewhite, and we look forward to providing some additional information based on the exploration work that Sylvain and the Musselwhite team had done at site that he described. which will reinforce our thesis of the benefits of grade at Musselwhite.
Operator: The next question comes from the line of Andrew Mikitchook with BMO Capital Markets. Please go ahead. There are no further questions at this time. I would like to turn the call back over to Jason Simpson, President and CEO, for closing remarks. Please go ahead.
Jason Douglas Simpson: Thank you for the questions, and I would like to thank everyone for their time on the call today. Never hesitate to reach out to Orla if you have any follow-up questions, we are available. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.